Dan Schleiniger: Good morning, everyone, and thank you for joining our Fourth Quarter and Full Year 2021 Earnings Webcast. With us today are Marcelo Rabach, our Chief Executive Officer; Luis Raganato, our Chief Operating Officer; Mariano Tannenbaum, our Chief Financial Officer; and Magdalena Gonzalez Victorica, our Chief Technology Officer. Today’s webcast, which is being recorded, will consist of prepared remarks from our leadership team, which will be accompanied by a slide presentation, also available in the Investors section of our website, www.arcosdorados.com/ir. As a reminder, to better view the presentation on the webcast platform, please scroll over the upper left-hand part of the screen and click on the arrows to maximize the slides. After we conclude our opening remarks, we will answer your questions, which you can submit using the chat function on the left-hand side of the screen. You will need to minimize the slides to access the chat function. Today’s call will contain forward-looking statements, and I refer you to the forward-looking statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. In addition to reporting financial results in accordance with Generally Accepted Accounting Principles, we report certain non-GAAP financial results. Investors are encouraged to review the reconciliation of these non-GAAP financial results as compared with GAAP results, which can be found in the press release and unaudited financial statements filed today with the SEC on Form 6-K. Today, we also filed the Form 6-K with historical quarterly information for the years 2019, 2020 and 2021, restated to reflect the recently announced reorganization from our forward to three operating divisions. The information will also be available for download on our IR website later in the day. We hope this helps you in your analysis of Arcos Dorados moving forward. Our discussion today excludes the results of the Venezuelan operation, both at the consolidated level as well as for the slab division. For your reference, we included a full income statement, excluding Venezuela, with today’s earnings release. Marcelo, over to you.
Marcelo Rabach: Thank you, Dan. Good morning, everyone, and thank you for joining us on today’s webcast. Since we already provided a preview of fourth quarter results on our recent Investor Update webcast, today’s presentation will follow a different format. Mariano and I will comment on our strong consolidated results, capital structure and growth plans. We encourage you to review today’s earnings release for the details of our results by division. After this brief overview, our presentation will focus mainly on the successful Three-D’s Strategy of Digital, Delivery and Drive-thru. We will show you how far we have done, how we did it and what we are planning for the next few years. Luis and Molly  will walk you through our digital transformation journey. So let’s start with our fourth quarter and full year 2021 results. As we already reported in January, sales trends remained very strong, with additional market share gains across all divisions in the fourth quarter. The Three-D’s established several new records. The highest ever Drive-thru guest volume, the highest ever delivery order volume, and the highest ever digital sales total for a single quarter. These trends drove significant operating leverage, leading to record EBITDA for a single quarter, up 10.5% in U.S. dollars versus the pre-pandemic fourth quarter 2019. Thanks to the record-setting second half, full year 2021 EBITDA rebounded strongly, including our highest ever full year EBITDA margin. Over to you, Mariano.
Mariano Tannenbaum: Thanks, Marcelo, and good morning, again. As you just heard, adjusted EBITDA margin performance remained strong in the fourth quarter and set a new record for a full year in 2021. At the restaurant level, fourth quarter margin rose versus the same period in 2019. We successfully managed our food and paper costs with gross margin improvements across the board, captured additional productivity to reduce payroll expenses, which also included some non-recurring government support and other payroll tax credits, and leveraged fixed costs in occupancy and other operating expenses, mostly offsetting the impact of higher delivery volume on expenses. Adjusted EBITDA margin expanded by 100 basis points versus the fourth quarter 2019 and was 160 basis points higher when we exclude non-recurring items from both periods. Cash flow from operations was also very strong last year. This helped us beat cash throughout the year, buy back some of our outstanding long-term debt, and together with the rebound in EBITDA improved our leverage ratio to a healthy 1.4 times. The balance sheet is in a great position to support our future growth plans. And I am happy to report that 2022 is off to a strong start in terms of sales, profitability, and the pace of openings. Let’s recap recent growth and future expansion plans. For the full year 2021, we delivered on guidance with 46 new restaurant openings, 40 of which were freestanding locations. We also met capital expenditure guidance with $115 million invested last year on both development and non-development projects. As we said in January, our goal is to capture the full profitable potential of the McDonald’s brand in our region. We plan to open at least 200 new restaurants in this underpenetrated market from 2022 to 2024, with about 90% being freestanding units, our highest ever three-year total. We are on track to meet this year’s operating guidance of 55 new restaurants. Through the first two months of the year, we have already opened 13 new restaurants, including 11 freestanding units, notably, about 75% of the three-year $650 million CapEx plan will go to development projects, including openings, modernizations, and maintenance. The remaining 25% of the planned CapEx will be invested in non-development projects, primarily related to the digital transformation of Arcos Dorados. As Marcelo suggested, please refer to today’s earnings release for the details of the fourth quarter’s results by division. With that, I will turn it over to Luis and Molly for a closer look at our digital transformation journey.
Luis Raganato: Okay. Thanks, Mariano. Good morning, everyone. Let’s start with a little history. Our digital transformation journey truly began in 2016 with a major analog upgrade to the company’s culture, or as we say culture, inspired by our mission to serve quality food. Generating delicious and accessible moments for everyone, we began training and encouraging all employees to generate feel good moments by just being themselves. We emphasized the importance of providing great service not just to guests, but among coworkers and team members as well. When we were working on this cultural transformation, we opened the first Experience of the Future restaurant at the end of 2016. And by the end of 2021, we had 825 EOTF locations. These new and modern restaurant design help change the face of the McDonald’s brand in Latin America and set the stage for the next steps in the journey. In 2017, we launched the first McDonald’s mobile app in Latin America and the Caribbean. Developed locally by Arcos Dorados, this app was initially focused on digital offers, while we build a foundation of data and know-how that will help us pursue more personalized marketing initiatives in the future. In 2018, we introduced McDelivery in our region. We were the first major burger restaurant to offer this service. And rather than work exclusively, with one delivery aggregator, or 3PO, we chose to work with all the major 3POs in each market. Our strategy was to establish the McDelivery brand and gain as much operating experience as possible in order to dominate this new sales segment. 2018 also brought our first basic CRM initiatives. Using the data we were capturing through the mobile app and other sources, we began connecting with guests via email and push notifications to generate higher frequency through personalization. By 2019, Cooltura was well established with a tangible impact on the company’s restaurants and offices. To capitalize on these reinvigorated spirit and really drive the digital transformation journey, we created our digital factory, which is a multidisciplinary team we call ADvance. In 2020, we began deploying the first integrated e-commerce platform to our markets in preparation for many of the news service models we introduced last year, including mobile order and pay, drive-thru pickup, curbside pickup and the early stages of own delivery. We intend to increase Arcos Dorados lead in the industry’s digital race by aspiring to deliver the best guest experience, generating delicious moments through technology that makes people’s lives easier. Cooltura is about people. And after all, this is a people business. I just mentioned the ADvance team led by Molly. They have been trained and organized to apply the agile methodology, which leverages the spirit of Cooltura de Servicio in Arcos Dorados. Rather than a traditional structure, they work in squads made up of people from multiple areas, responsibilities and geographies within the company. This group now has more than 300 team members, and includes new hires, such as data scientists, architects, and engineers, as well as 3PO and technology experts, whose skills are crucial to the success of this journey. ADvance team members work collaboratively taking calculated risks to meet their extremely ambitious moon shot objectives. They are encouraged to identify and test innovative solutions to fail fast, to favor progress over perfection, and to always move forward for the collective goals. For more about what the ADvance team is working on, as well as recent milestones, I’ll turn it over to Molly.
Magdalena Gonzalez Victorica: Thanks, Luis, and thank you for the opportunity to be here with all of you today. I joined Arcos Dorados more than 20 years ago, and have led various groups and projects within both finance and IT over that time. Before taking on the role of Chief Technology Officer in October, my most recent role was Head of ADvance. When I became CTO, the scope of ADvance expanded to include three areas. First are the squads, who focus on the most visible aspects of the journey, digital experience, digital marketing, and digital channels operations and logistics. Second is the information technology infrastructure, that is will be required to support the ambitious goals we set for ourselves. And last, but not least, is the data and analytics team that ensures we properly capture and manage data to generate the insights that will power future initiatives. The last two years have clearly been very challenging, but it was also a time of extreme learning and significant progress. Although we were already on our way, the pandemic catalyzed sales potential in each Digital channel, Delivery, the Mobile App, and more recently, the Self-order Kiosks. Last year, 36% of total system by sales were generated across these sales segments with sustained growth over the last two years. Our customer acquisition strategy has produced over 62 million downloads. The mobile app also has 2.5 times the average monthly users and an adoption rate that exceeds any other QSR competitor by far. New convenience solutions are gaining traction as we deliver a more personalized experience to the more than 53 million unique registered users in our CRM database, driving higher lifetime value. Luis told you the mobile app started as a digital offer tool in 2017, but it has since evolved into so much more. In order to expand our lead in the QSR industry digital race, we are focused on allowing us to choose where, when and how they experience McDonald’s. The mobile app is now a powerful communication tool with an engaging and highly rated user experience. Today, guests can place and pay for their orders before choosing whether to enjoy the McDonald’s menu favorites in our dining rooms or off-premise through delivery, drive-thru or curbside pickup. That’s what we mean when they – when we say we are generating delicious moment through technology that makes people’s lives easier. This includes personalizing guest experiences to create greater engagement, frequency and loyalty over time. There is still so much that we plan to do, which is why we have clear objectives when it comes to connecting with our guests in more meaningful ways. One of our most important goals is aligned with McDonald’s global ambition of unlocking 40% identifiable digital sales by the end of 2025. Identifiable sales means mobile app users who make an app initiated purchase using any functionality and who have opted into sharing their contact and other personal information. Today is highly personalized, and efficient campaigns account for about 15% of total sales. Another way we connect and engage with our guests is by leveraging our unique partnerships and exclusive licenses. In conjunction with Coca-Cola and built on one of the world’s most popular video games, we recently launched a regional e-tournament. Gamers are a very attractive and growing demographic, and more than 18,000 gamers registered to participate in the tournament. Our partnership with League of Legends, one of Latin America’s most popular PC games, was also designed to build engagement. We rewarded gamers with my combo offers whenever they successfully completed a combination of taking ownership of the combo concept. We also connected with guests around holidays, another special days of the year. At the end of November, we turned Black Friday into Méqui Friday with our 360 degree campaign, focused on acquisition and guest engagement. The campaign was so successful that we set daily records for downloads and usage levels. In fact, we were the number one downloaded food and beverage app ahead of all QSRs competitors and even the 3POs. The technological infrastructure and e-commerce capabilities needed to generate the ultimate omni-channel convenience for guests have been built and are being rolled out to all markets. Soon, we will take a leap forward with hyper-personalization. Inspired by leading tech companies such as Amazon and Netflix, the ADvance team developed a recommendation engine that creates a unique app experience for each guest. Using previous consumption, known preferences and similar users we call look alikes, our app will show tailor recommendations that feed individual guests favorites. This is a key milestone on our road to personalize feel good moments for everyone. The Delivery segment will continue to evolve over the next several years and we are working on different ways to further enhance guests experience, gain market share and increase profitability. As an example, more than 300 McDonald’s restaurants currently operate on delivery across Argentina, Brazil, Chile and Colombia. But the McDelivery guests experience sets the bar very high for any other logistical solution. And the next partners and business models must provide are the same or better guest experience than to date. Finally, we are close to launching a new loyalty program built on the learnings from our own drive-thru-based program and McDonald’s rewards program launched last year in the United States. But we will save those details for a future call. As you can tell, we are moving fast and the most exciting part of this journey is still ahead of us.
Luis Raganato: Within that journey is the incredible growth of the delivery segment over the last few years. Today, we’re the absolute leaders in delivery in the QSR industry with the possible exception of the Pizza segment. Over 1,700 McDonald’s restaurants are now operating delivery in 15 of Arcos Dorados markets. After launching the segment and building the McDelivery brand in the early years, in 2021, we began experimenting with new models such as exclusive 3PO partnerships in Colombia and Peru as well as preferred partnership in Brazil. Guests recognized our operational excellence with increasing order volume, sustained sales growth, and important market share gains. Delivery generated 16% of system-wide sales last year, up just from just 2% in 2018. Growth remained robust, including in Brazil, where local currency sales grew 30% in the fourth quarter versus 2020, 3 times the base of the nearest competitor despite a higher base. Delivery times are down by an impressive five minutes since 2019. Order accuracy has improved significantly as well. This is probably due to our pan-regional negotiating power that helps ensure consistent execution by our delivery partners. Better execution leads to higher customer satisfaction that in turn supports higher sales value. A strong marketing program built around special dates, exclusive menus and 3PO initiatives also helped drive greater engagement and frequency among delivery guests.
Magdalena Gonzalez Victorica: Technology has also played an important role in the improved operational execution in the Delivery sales segment. For several quarters, you have been hearing that we are investing in digital and developing new capabilities. Some of those are customer-facing, like the hyper-personalization I mentioned earlier, while others are less obvious, but still have a huge impact on guest experience and operational efficiency. For example, we have implemented advanced technology that connects the digital with the physical world. This tool seamlessly integrates our kitchens with digital or resources, such as our e-commerce platform and 3PO partners. Having this functionality on a single platform helped optimize the delivery times and improve order accuracy as Luis just described. I’m proud to say the Arcos Dorados’ ADvance team developed this tool in-house and that it is unique within the entire McDonald’s system.
Luis Raganato: One of the best indicators of success and perhaps the most encouraging aspect of the Delivery segment is how sticky it has remained even as on-premise sales continue to recover. Growth in Brazil was 2.5 times the growth of the nearest competitor last year. In total, Arcos Dorados delivery sales grew about 345% in constant currency from 2019 to 2021. The other sales segment that boosted unit level sales and the final D in our strategy is Drive-thru. We have at least 2.5 times the number of freestanding units as the nearest competitor in most of our big markets. This is a structural competitive advantage for the McDonald’s brand in Latin America and the Caribbean, that will likely grow over the next three years as we open at least 180 new freestanding locations across the region. But opening freestanding restaurants is not the only way to support right to sales. Operational execution is a key driver for organic sales growth. And optimizing the operation has been our focus for the last two years. And we’re very proud of the 32% reduction in service times and 50% reduction of inaccurate orders versus 2020. So how did we do this, technology, training and focus. Molly mentioned the technological solutions we developed locally for the Delivery segment. In Drive-thru, we leveraged best practices and available technology in the McDonald’s system. We also formed dedicated Drive-thru teams in every restaurant, created competitions to drive sales across the footprint, and above all focused on being the best Drive-thru operator in the industry. The result was 34% higher customer satisfaction and sustained sales growth through 2021. Just like Delivery, we developed marketing campaigns are run Drive-thru to generate awareness and provide guests with unique experiences. We also build a loyal following of 3.5 million Drive-thru guests who registered to receive special offers and other exclusive experiences focused entirely on the Drive-thru segment. Drive-thru contributed 35% of sales in 2020 and 2021 versus just 22% In 2019. Sales growth was consistent in the period, benefiting from both volume growth and a higher average check. In fact, the number of cars per restaurant rose more than 15% between December 2019 and December 2021. Average check growth, which was already higher than the front counter was boosted by larger order sizes and special bundles developed to meet increased demand from families and other large group orders. While some of the volume growth came through higher frequency as a result of the pandemic, as well as the loyalty program, about one out of every seven Drive-thru guests tried the segment for the first time this year. Similar to Delivery, we see this as a structural change in the industry that we are uniquely positioned to capture. Looking ahead, we believe Drive-thru will represent around 30% of restaurant sales after on-premise channels have returned to normal. We refer to market share gains several times today. So let’s take a look at the wider gaps we now have between brand McDonald’s and the nearest competitor. Given how much changes in channel mix have impacted average check, we are more focused on visit share to analyze volume trends among brands. Margin expansion through volume growth and operational leverage is much more challenging, but also much more sustainable than using simple price increases to offset cost pressures. This is why we’re very pleased with the volume growth we capture in the restaurant industry over the last few years. Between the first and fourth quarters of 2021, the visit share gap between the main competitor and the McDonald’s brand rose to more than 14 percentage points across the Arcos Dorados footprint, an increase of nearly 5 percentage points. According to CREST, the gap in Brazil was 21 percentage points in the fourth quarter, up 1.8 percentage points compared with the first quarter. Based upon our proprietary research increases in the favorable visit share gaps last year ranged from 3.5 percentage points to more than six percentage points in our other large markets. We often say that we like to let our results speak for themselves. This is a truly exciting time for us. And we are as confident in our strategy as we are in the opportunity that lies ahead. Marcelo, I hand it back to you now.
Marcelo Rabach: Thank you, Luis and Molly for that comprehensive update of the digital transformation journey at Arcos Dorados. As we said at the beginning of this presentation, this is a people business. Our strategic decisions would not have been as successful over the last two years without the commitment of the people who make up the Arcos Dorados system in Latin America and the Caribbean. That is why we never lost sight of our employees and guests’ well-being over the last two years. The   Program provided the safest restaurant experience in Latin America, and remains the benchmark for cleanliness and hygiene in the industry. Employee sources of income were also protected throughout the period with austere cost and expense management and government support programs designed to protect jobs. We are very proud to have been able to support our people throughout this challenging period, and incredibly grateful for all the hard work they continue to do in order to build an even brighter future for our company, an even better experience for our guests. Perhaps the best indicator that we were successful in taking care of our people is the recognition we received throughout the last several months from entities such as great place to work that ranked us number one in Ecuador, among companies with more than 500 employees, and number two in Brazil, among all large retailers. We are committed to generating first former job opportunities for young people in Latin America. And we are proud to be recognized as a great place to work for those who are just getting started in their careers, as well as those who rose through the ranks or join us more recently. Among our values, is valuing differences and supporting inclusion. There is no better validation of the progress we are making on diversity and inclusion than the recognition we received from the government of Chile, who gave us this  for promoting diversity, gender equality, and work life balance. In Colombia, we received the  from the United Nations for working toward gender equality in that country. These are a few examples of how we have made ESG a part of our Arcos Dorados DNA. That is why, as we did in 2021, 10% of management’s valuable compensation for 2022 will be tied to ESG metrics. To wrap up, we are very pleased with our performance last year, say, some profitability improved consistently throughout the year in U.S. dollars, despite challenging operating conditions, as well as continued currency and got pressures. The Three-D’s Strategy is driving results, as reflected by growing visit share gaps against the closest competitors in most markets. Our industry-leading digital platform will soon enter the hyper-personalization phase, with exciting new functionalities under development as well. We are in a privileged position, both in terms of operating cash flow generation and balance sheet strength to fund our ambitious growth and investment plan of the next three years. Against that backdrop, and in keeping with its commitment to providing shareholders with multiple sources of return, our Board of Directors has declared a cash dividend of $0.15 per share to be paid this year. The work never stops, but we are pleased with the progress we are making. I’m very optimistic about the road ahead. Dan, over to you to start the Q&A session.
A - Dan Schleiniger: Thanks, Marcelo. In order to get started, please minimize the presentation slides, so that you can access the chat function on the left-hand side of the webcast platform. Please limit yourself to one or two questions, so that I can read, understand and convey them to our speakers. We’ll now pause briefly to compile your questions. Okay, great. Our first question is from Marcella Recchia from Credit Suisse. She has a two-part question. One relates to or asked us if we can comment on the first quarter, and how Brazil and consolidated same-store sales are trending? And how does the competitive environment look?
Marcelo Rabach: Okay, good morning. Marcella, thank you for the question. Well, as Mariano mentioned in the opening remarks, January and February sales, and in fact, profitability and consequently, cash flow generation trends, were very strong, even ahead of our expectations. And that’s not only for Brazil, but across the company. We started, obviously, the year hearing concerns about high inflation in many markets and how that situation could pressure consumption. But in fact, we did not see that reflected in our results so far. It is still early in the year. And there are clear short-term disruptions in global commodity markets and other macroeconomic figures. But I think that we demonstrated our ability to manage costs and expenses in that kind of scenario. And we feel very good about the way we are positioned. The Three-D’s Strategy continues to drive top line and market share gains, which in turns, continue to generate efficiencies in our P&L. The competitive landscape hasn’t changed in the first quarter of the year, we’ll go back to 2021 period in which we gained market share big time, as we mentioned during the call. I think that many of our strengths, particularly our restaurant footprint, continues to be a huge advantage because it is second to none, and will only get better because 90% of our openings continues to be freestanding units. And at the same time, our balance sheet is the strongest it has been in a long time. So in other words, or to wrap up, I would say that for 2022 for Brazil and and for the whole company, so far, so good.
Dan Schleiniger: Perfect. Thanks, Marcelo. The second part of Marcella’s question relates to or asks if we’re seeing risks from recent rally in commodities in terms of input cost pressures, and she mentions some commodities along the lines of proteins, wheat paper, et cetera. So go ahead, I guess this is for you Mariano.
Mariano Tannenbaum: Perfect. Thanks, Dan, and thanks, Marcella, for the question. On the cost side, let me tell you that we benefit from sourcing around 90% of our food and paper within Latin America and the Caribbean, which tends to mitigate some of the logistical costs associated with the current global supply chain bottlenecks. Our supply chain is also built on long-term relationships with our local suppliers and benefits from the largest volumes in the industry. Additionally, we were able to leverage the best suppliers within the global McDonald’s system to ensure the best pricing in the industry. Fortunately, let me tell you, we operate in a region of the world with significant agricultural production. So it’s important to keep in mind that we have a very diversified cost structure. We discussed a lot about proteins and B finger in the last four past years, especially that pressure that we experienced in Brazil. And if you look at our food and paper line, you have seen improvements in the last two years compared to 2019 and 2020. Let me give you a brief example, about wheat, for example. Wheat prices are up significantly. That’s true. We agree with that. But the price of wheat has a small impact within our bakery and pastry costs. And those costs have an even smaller impact on the total food and paper costs. They come together, for example, we’d represents only about 1% of the paper costs or about 0.35% of total revenue. So even though there could be an impact from the commodity side, that impact will not be that large. And let me add that when we – I think we mentioned that in the past. And the food and paper line on the gross margin is not only about managing costs, it’s also about the top line. So it starts at the top line, starts – or what we have been doing and what we mentioned in the opening remarks is that we have a sophisticated revenue management, including intelligent pricing, channel mix, many simplification, we do all that to support most profitable sales mix. You need to understand that the freestanding what we are doing by opening more freestanding units, that allows us to use our omni-channel platforms doing off-premise sales like Delivery and Drive-thru, which have much higher average prices and where we can also improve margins by enhancing those those lines. So as a whole, I think commodity prices and cost pressures are there. But we have been able in the last two years where we had already cost pressures to manage the gross margin line in a very efficient way and we are planning to do so in the future.
Dan Schleiniger: Great. Thanks, Mariano. The next question comes from Bob Ford of Bank of America. He congratulates on the quarter and thanks us for taking a question. Can you talk a little bit about technology in the restaurants and how that’s impacting your crew costs and any implications for retrofits or new store configurations? Nice to start with you, Marcelo.
Marcelo Rabach: Yeah. Thank you. Good morning, Bob. Nice to have you in the call. Yes, as you know, since the introduction of the first EOTF restaurant at the end of 2016, we made a big push in order to bring more and more technology to our restaurants. There are some parts, which are more visible, for example, the self-ordering kiosks that allows us to increase capacity for order taking in on-premise. But as we mentioned at the time, we took the decision that moved some of the people we do not need at the front counter, because part of the clients are going directly to the self-ordering kiosks. So the people who do not need to take the orders at the front counter, we decided to move them to the area where we do the self-ordering kiosks. And that’s the way we train our customers in order to deal and to play with the self-ordering kiosks. As a result of that effort, we saw that more and more people adopt the self-ordering kiosks as the preferred way to make their orders inside their restaurants, which is a huge advantage for us. Just to give you an example, in 2019, 30% of the orders in EOTF restaurants were made of the self-ordering kiosks less than 30%. And in 2020, at the end of 2021, we saw that more than 50% of the orders are made through their self-ordering kiosks. And the huge advantage is that orders made at the self-ordering kiosks are typically 15% to 20% higher in terms of average check when compared to the orders made at the front counter. But that’s not the only investment we made in terms of technology, for example, we invested a lot and we continue to that with technology to increase capacity in other business segments. For example, the Drive-thru, where we doubled the points of order taking with handheld tablets that a group person uses in the line to take two orders at a time. And using pin pads to receive payments in the line on top of the point at the cashier window where we receive payments due. So those kind of investments impacted positively sales, we increase capacity, and we increase director of sales in this case. And that helped us to leverage not only the labor cost line, but on top of that other cost lines. So I would say that the improvements in labor costs are more related with the improvements in sales than with cutting people from the floor. We are repositioning them and we continue to see improvements in terms of customer satisfaction rates, which is very important in a very competitive landscape as we face in some markets.
Luis Raganato: And if you – let me add, Marcella, we’re going to keep investing in this technology and in EOTF, not only in our new stores, but in the 400 new modernizations that we’re going to have in the next three years.
Dan Schleiniger: Great. Great. Thank you, guys. The next question comes from Roberto Browne of Morgan Stanley. He says, hi, everyone, and thanks for the call. He asked if we can comment on where counter traffic stands versus fourth quarter of 2019 levels consolidated by region? And if we expect to recover the 2019 levels, or should we see some cannibalization from other channels? And there’s a second part about margin improvements in 2022, and others when we see more margin for 2022. So maybe the first part on traffic trends. And then to you, Marcelo.
Marcelo Rabach: Okay. Good morning, Roberto, and thanks for the question. I would say that the performance on-premise in general is still below pre-pandemic levels. And that applies not only to front counter but to desert centers, too. The gap between the situation today, when you compare that with the pre-pandemic levels varies by market and varies a lot by store formats. So, for example, in terms of markets, we have markets like Colombia or Mexico, where we are pretty close to pre-pandemic levels in terms of traffic. On the other hand, markets like Brazil, for example, where we have a huge amount of restaurants in shopping malls, we are below 2019 figures, but improving sequentially quarter-after-quarter. Freestanding units are much closer to be one of the Mc  levels even in the front counter. And what we see is that the off-premise channels are very sticky. And during these recovery of the on-premise sales, we see that we are able to keep or even grow the off-premise sales channels contribution. And we expect us the rest of the McDonald’s system is expecting to continue the recovery during this year, and maybe going something around 90% to 95% of the pre-pandemic levels at the front counter or on-premise in general, in the second half of this year. But again, at the same time having a huge contribution from the off-premise channels when compared to pre-pandemic levels.
Dan Schleiniger: Great, thank you. Actually, the second part of Roberto’s question, let’s say that for, we got a question from Ulises Argote has a similar concept. So I’ll come back to that one, Marcelo. Let’s move to Joaquin Pinto from Itau. Joaquin, congrats on the results. And he’s asked how do on-premise sales compare with pre-pandemic levels. Mariano or Marcelo, just talk about that. And he asked what we’ve learned in terms of restaurant design and CapEx optimization, and if we would consider transforming some of our non-freestanding units into our kitchens?
Marcelo Rabach: Okay. Thanks, Joaquin. Joaquin, good morning. Yeah, we do a lot of learnings about this new situation, in order to make a more flexible design for our new restaurants. For example, we are dedicating on a specific space in the restaurants to operate in a better way the Delivery segment. So the delivery guys should not compete in terms of space with the customers that are a putting the orders in the front counter. And at the same time, we are improving the way we operate the Drive-thru, typically having second lane to take orders or at the same time or the third window in order to have two points to deliver the orders. So we do some learnings and it is not only us, the McDonald’s system is doing that. And we are as always in constant communication with our colleagues from McDonald’s and taking advantage of all the research and development they are doing in order to improve restaurant layouts. On the second part was I do not see any situation where we need to transform a restaurant, traditional restaurant in-store or whatever other format in boasts or dark kitchen. We see a lot of potential to grow the business with the way we are operating the restaurants right now. And I think that the trend of results demonstrates that we are in the right path.
Dan Schleiniger: Great, thank you. So let’s move on now to Ulises Argote from JPMorgan. He says hello, everyone, and congrats on the results. A couple of questions from his side. One is how much more growth does the current digital platform support with today’s capabilities? And what kind of investments and sort of specific areas that they can expect or you can expect to see in terms of digital capabilities? And are there any regions that are lagging behind today? So I guess Molly, why don’t you start it?
Magdalena Gonzalez Victorica: Thanks, Ulises. Nice to meet you. As we mentioned earlier, 36% of the sales that are today coming from digital sources in 2021. This means delivery, self-ordering kiosks and digital marketing. If we compare with 2019, we have an significant improvement that year, the digital sales were representing 19% of total sales, and we expect this to continue. How did we do this? Expanding capabilities that provide guests better experience. For example, mobile order and pay or table service, Drive-thru pickup, curbside pickup and also early stages of own delivery. We have increased segmentation to improve revenue management with more targeted offers and promotions. And we have invested in CRM, which enabled us to deploy personalized actions with high engagement and precision, for example, special communications with customers like birthday offers purchase. And as Marcelo mentioned, the experience of the future restaurants were benefited from self-ordering kiosks that are capturing more than 50% of on-premise orders versus 30% pre-pandemic levels. And these allow us to have a higher average check in general. So these are the things that we are doing. And of course, we talked about hyper-personalization in the call as well and it’s something we are investing heavily going forward.
Dan Schleiniger: Great, thanks. And the second part of Ulises question relates to margins and sort of the outlook for margins for 2022, given cost pressures, we’ve touched on cost pressures, but maybe a broader margin outlook. This is – was Roberto from Morgan Stanley. Second question is also coming from Ulises. And just to be fair to have Thiago Bortoluci from Goldman Sachs also asks about kind of an outlook around margins. So I guess I’ll turn it over to Mariano.
Mariano Tannenbaum: Great. Thanks, and thank you all for the questions. Well, first of all, that we don’t give guidance on margin, but I can talk a bit about what we have been doing and what we – and how that relates to the current year and the future. I spoke already about gross margin, and all the things that we are doing in order to offset commodity pressures and cost pressures. We spoke already about revenue management, about what we’re doing in digital in order to enhance our product mix and increase our average check through the omni-channel platform that Arcos Dorados has, and currently is developing to have or to increase delivery sales and to increase Drive-thru sales, together with the recovery of the front counter. So we already spoke about gross margin. But of course, this is not the only coastline that we have, it’s most important one, but not the only one. I think that everything starts with sales. So as long as we continue increasing sales, we will be able to leverage all the fixed costs, which are now structurally higher due to the growth in the off-premise segments. Actually, what we are doing is, as long as sales will continue to grow, we are expecting to to have fixed costs diluted in – with higher sales. We are also working, or we have been working on the G&A structure, reorganized our G&A, our structure to focus on areas that provide greatest returns moving forward, including digital and all the expansion teams to be able to deliver on our CapEx plan for the next few years. On top of that, we have been seeing improvements in payroll line, which are associated to this increase in sales and in other channels in off-premise channels that we are seeing. With all that, what we are seeing is that for the next two years, the company will continue to work on improving all the cost structure to leverage on the growth of sales and on the omni-channel platforms. And that’s what we are doing and we expect to see those results, of course, reflected in our our income statement.
Dan Schleiniger: Great. Thanks, Mariano. The next question is from   from . He asks, how far have the personalization – how far are we along the personalization of hyper-personalization journey in terms of margin opportunity? And what should we expect for the next few years? I guess, to you, Molly.
Magdalena Gonzalez Victorica: Yeah, thanks, Joe. Nice to meet you as well. I think we are making big progress in the personalization area. And we talked about in the call, we are starting with hyper-personalization initiatives, which basically will enable us to create a unique personalized app for each of our guests using artificial intelligence recommender engines. This recommender engines are one of the biggest drivers for digital engagement. And some of the top digital brands we engage with every day are built around one, for example, Netflix, Amazon or Google. If you see public data, you can find that 35% of purchases on Amazon come from these type of product recommendations and Netflix claims that 75% of its views content come from the recommendation engines as well. So this tool we developed internally analyses each guest’s previous consumption, declare preferences, and other look alikes uses to display tailor recommendations that fit each guest with the highest probability. We are very confident that our higher personalization initiative will not only strengthen our relationship with our guests through suggestions, but also will deliver our moment. It will keep getting our users coming back and back again, increasing our retention and lifetime value.
Dan Schleiniger: Great. Thanks, Molly. The next question is from Matias Galarce from Black Creek Investment Management, and he asked about the informal market and if it’s coming back. And when things normalized, how do we expect the informal market share to also sort of compare versus pre-COVID levels?
Marcelo Rabach: Okay. Thank you, Matias, for the question. Yes, the informal market is coming back into huge hits. In 2020, I would say that in 2021, we are seeing some more additional activities coming from informal players. But still far from the activities we saw pre-pandemic, and that’s why, as we mentioned in the opening remarks, we gain share big time. And I would say that the QSR industry gain share in general. We particularly outpaced our peers within the QSR industry. So I expect that during 2022 that recovery from the informal sector we continue. The share it had previous to the pandemic varies a lot market from market, for example, in markets like Mexico or Peru, the informal sector had a huge market share. But after these two years, that participation that market share is much lower. I think that we are in a privileged position to deal with these new market conditions. We will continue to invest in every single part of the business, marketing activities, improvements in operations and all the digital efforts we are making in order to keep or even increase our high-market share participation.
Dan Schleiniger: Okay. I think we’ll squeeze one more in here from . He says hello and what’s the way to think about changing unit economics or same-store sales on average as a result of the increased delivery sales and assuming that we keep them at around 15%?
Mariano Tannenbaum: In fact, that’s what we’re doing when we announced our expansion plan focusing on freestanding units, where we can have delivery sales enhanced in that format as deliveries higher critic for our business, especially now that we are recovering the front counter. So, what we are seeing is that we can recover from counter hopefully at some point will be higher than in 2019 levels. And on top of that, we are increasing sales and we are maintaining sales that we achieved during the pandemic on Drive-thru and on Delivery. So both segments are highly accretive to the business and we’ll be improving the – that’s the expectation that they will be improving the economic equation for the restaurants.
Marcelo Rabach: Yeah, in – if you let me add, Mariano, we have very strategic negotiation with different 3POs. In most of the cases, they operate across the region and we have a competitive advantage in – this is due to the scale and our brand penetration. And I like to remark that we have been invested in segmentation and personalized offers. This led us not only be more assertive in terms of product offering, but in margin improvement in delivery.
Dan Schleiniger: Great. Well, thanks, everyone. We’ve reached the end of the Q&A session. Thanks for joining us and for taking the time and the interest in Arcos. Look forward to speaking again with you again on our May 2022 earnings webcast. And until then, stay safe and have a great day.